Operator: Thank you for standing by. Welcome to the Jamf First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Jennifer Gaumond, Vice President, Investor Relations. Please go ahead.
Jennifer Gaumond: Good afternoon, and thank you for joining us on today's conference call to discuss Jamf's first quarter financial results. With me on today's call are Dean Hager, Chief Executive Officer; Ian Goodkind, Chief Financial Officer; and John Strosahl, President and Chief Operating Officer. Before we begin, I'd like to remind you that shortly after the market closed today, we issued a press release announcing our first quarter financial results. We also published a Q1 earnings presentation, along with an updated investor presentation and Excel file containing quarterly financial statements to assist with modeling. Additionally, we issued a press release announcing Dean's retirement and John's appointment to CEO, effective September 2, 2023. You may access this information on the Investor Relations section of jamf.com. Today's discussion may include forward-looking statements. Please refer to our most recent SEC reports, including our most recent annual report on Form 10-K, where you'll see a discussion of factors that could cause actual results to differ materially from these statements. I would also like to remind you that during the call, we will discuss some non-GAAP measures related to Jamf's performance. You can find the reconciliation of those measures to the nearest comparable GAAP measures in our earnings release. Additionally, to ensure we can address as many analyst questions as possible during the call, we ask that you please limit your question to one initial question and one follow-up. Now I'd like to turn the call over to Dean Hager. Dean?
Dean Hager: Thank you, Jenn, and thank you everyone for joining us. Jamf is pleased to report that our first quarter of 2023 marks the 12th consecutive quarter where Jamf outperformed expectations. Q1 year-over-year revenue growth was 22% and non-GAAP operating margin was 5%, both of which exceeded the high end of our outlook. Jamf's ARR grew 21% year-over-year in Q1 to $526.6 million. These results are reflective of Jamf's continued strong performance amid this difficult macroeconomic environment. We ended Q1 with more than 72,500 customers running Jamf on 30.8 million devices, adding approximately 800,000 devices within the quarter, slightly more than we added in Q1 or Q4 of 2022. Similar to last quarter, we saw continued demand for Jamf's management and security offerings with strong new logo growth and customer retention. While the demand for Jamf solutions remains high, the rate at which devices have been purchased within organizations have significantly slowed due to continued macroeconomic uncertainty. This uncertainty has led to a muted hiring environment, causing both new and existing customers to limit their device growth expectations at the time of purchase and renewal. And as we outlined last quarter, as part of our 2023 outlook, we anticipate these macro headwinds to continue for most of the year. Jamf remains well positioned to navigate these challenges due to a number of factors, including significant product differentiation, customer value and continuing to take a prudent approach to growth and profitability. In Q4 of last year, we made targeted investments in our sales team and enacted a number of cost initiatives to position Jamf for both margin expansion and future growth when macro conditions improve. In Q1, we continued this approach in order to deliver both strong top-line and bottom-line improvements this year. As we look across the global market, our observation that device expansion has significantly slowed is supported by industry research. According to Gartner, Q4 marked the largest quarterly PC shipment decline, since they began tracking the PC market. And in Q1, PC shipments declined year-over-year even further. While no PC maker has escaped this trend, despite a significant Q1 decline in Mac shipments, Apple has fared better than most. Over the past four quarters, Mac shipments have declined 6% compared to the prior four quarters, while shipments of all non-Mac computers declined 23% over the same period. This has resulted in Mac market share expanding by 2% over the past year. It's worth noting over a similar period, Jamf achieved the largest year-over-year Mac device growth in Jamf's history in 2022, adding over 1 million Mac under management for the first time, showing that Jamf continues to win a larger share of an existing under-managed and under-secured Mac market. Jamf continues to see employee preference for Mac increase, leading more organizations to create Mac choice programs to meet demand from employees who choose to use the same technology at work as they use at home. One example was documented in a recent case study of Jamf customer, Cisco, by creative strategies. Cisco noted that not only do 59% of new hires choose Mac, 24% of employees with a Windows laptop choose to switch from Windows to Mac when their laptop is up for refresh. In Q1, another Jamf customer who also provides employee technology choice, grew their Mac fleet by 36,000 devices at their renewal. Combining this trend with IDC's expectations that PC shipments will return to growth towards the end of the year, and that by 2024, an aging installed base will start to come up for refresh, Jamf believes that both the Mac and iPad will be the choice of a growing population of employees to replace aging Chromebook and Windows computers. Overall, Jamf's strategy is based on three key beliefs. One, the continued consumerization of IT, remote work and Apple hardware innovation will lead to greater Apple market share within the enterprise. Two, as most management and security solutions are not designed Apple-first, Jamf will continue to expand market share as more organizations move away from suboptimal non-specialized solutions that do not deliver the same Apple user experience that employees enjoy in their personal lives and open devices to security threats. And three, management security solutions delivered as an integrated platform provide greater automation, reduce exposure and achieve the goals of both IT and InfoSec teams. Despite what we believe are temporary macroeconomic challenges, Jamf's market and customer experience through Q1 provide us confidence in our ability to consistently grow, expand margins, deliver for our customers and continue our role as the market standard for Apple at work. This strategy also provides Jamf the opportunities to successfully expand as we already have to other mobile platforms when and where it makes strategic sense for the market and customers. Jamf showcased our latest innovations last week during our annual spring event, which was live-streamed by thousands of customers and prospects. During the event, we highlighted a number of our new offerings across identity connection, endpoint protection, and device management to help organizations deliver an enterprise-secure, consumer-simple environment that protects personal privacy. Specifically, our Jamf Connect product, which is used by over 7,000 organizations, now includes Zero Trust Network Access capabilities, which can automatically be set up during the first power-on of a device, helping enforce encrypted access to an organization's applications, while not interfering with private browsing. All accomplished by simply activating the Jamf Trust app on the device. Jamf also announced a new capability to detect whether the user has disabled Jamf Trust. Even after authentication, it immediately block access and guide the users to reactivate Jamf Trust with a single click. Additionally, with Jamf's Q1 delivery of iOS support for Google BeyondCorp, and last week's announcement of new support for AWS-verified access, Jamf provides the only management and security solution integrated with the ZTNA frameworks for all three of the largest cloud providers Microsoft, Google and AWS. Jamf has also expanded its partnership with Okta and together deliver best-in-class identity security for Mac OS devices. Platform SSO enabled Okta password sync, which activates Okta Verify and Okta FastPass on the device, while Jamf Connect delivers secure provisioning of local Mac OS user accounts using Okta credentials. With enrollment SSO, Jamf takes a major step forward to simplify the account driven user enrollment onboarding process, while dramatically enhancing login security on BYO iPhones and iPads. This means after enrollment, users are able to enjoy fast and secure logins using face ID or touch ID to all of their company apps on their personally owned devices using Okta. In education, last year we launched Jamf Safe Internet, a best-in-class web content filtering the threat prevention solution, tailor-made for education. In Q1 of this year, we announced Jamf Safe Internet for Chromebook. And last week, we announced Jamf Safe Internet will be coming to Windows PCs this summer. Our sales team and customers are excited to have this cross-platform solution available this summer during the traditional education buying period as educators prepare for the next school year. Additionally, we announced last week, new controls for Safe Internet, embracing Apple's unique framework that delivers additional on-device protections and privacy. For IT administrators in all industries, Jamf continues to focus on improving their efficiency. This summer, we will launch Jamf Remote Assist, which allows IT admins to initiate a secure remote desktop directly in the Jamf Pro console with no additional purchases needed, again saving cost for customers. Jamf has also continued to expand the number of application titles supported by the Jamf App Catalog, as we have also improved our app installers, empowering IT to automatically notify users when an update is available. We're excited to see these new innovations come to market to help customers save money through platform consolidation, achieving labor efficiencies and reducing security risks. Before I hand things over to John, I want to share some thoughts on today's announcement regarding my retirement and John's appointment to CEO. My decision to retire has been part of a personal plan with my wife, Jenny, for quite some time. With the support of Jamf's Board, knowing my intent has given us ample time for succession planning. I recently informed the Board that I felt now is the right time to begin the transition process. Serving as Jamf's CEO has been the greatest honor and experience of my 34 year career. Over the past eight years, I've been blessed to know incredible people who have come together to create the most customer focused selfless team I've ever had the pleasure to work with. They have taught me more than I could ever teach them. When I joined Jamf in 2015, my first hire was John Strosahl. He and I have worked together side by side for all eight years. John brings a wealth of knowledge, operational rigor, and global experience that is rare in the industry, having succeeded with businesses and lived in countries all over the world. John has been preparing for this role for years, continuing to succeed as he took on additional responsibility, serving as Jamf's COO since 2020 and President since January 2022. For the past year and a half, most of our organization has already reported to John, including all engineering, product, marketing, support and all sales and channels functions. Of course, John has also played an integral role in the development and execution of Jamf's successful strategy during his eight year tenure. As for my retirement, I plan to continue my role on Jamf's Board of Directors. I will also enjoy having more time to focus along with Jenny, on one of my passions, bringing technology to young people through work with the matter innovation hubs. Of course, to do this properly, we will be using Jamf solutions in the classroom. In short, I will continue to have a front row seat to watch Jamf success as a member of the Board, as a shareholder, and as a customer. I'll now hand things over to John to highlight areas of Jamf's momentum and Q1 wins. John?
John Strosahl: Thanks, Dean, for the kind words. I'm grateful for your guidance and partnership over the years, and I look forward to continuing our work together on the Board. And to our investors, I'm also looking forward to working more closely with you as I take on this new role. My decision to join Dean and Jamf back in 2015 has been the best decision in my career. Today, Jamf's ARR is more than 10x what it was when Dean and I both joined, which is a direct result of Jamf's laser-focus on customers, innovation and employees. I could not be more honored to lead this team, and I'm excited to see what the future brings to our business. In Q1, Jamf made great progress, expanding our relationships with key partners, expanding our reach and influence to bring the power of the Jamf platform to even more customers. These relationships span numerous ecosystems, including technology industry influencers like AWS, Google and Microsoft, channel partners like British Telecom and managed service providers. Last quarter, we discussed Jamf's participation in the AWS ISV Accelerate Program, making Jamf available in the AWS marketplace, bringing together AWS and Jamf sales teams to collaborate to best serve customers and allowing joint customers to use their AWS credits or committed annual spend to purchase Jamf products. In Q1, AWS and Jamf sales teams worked side-by-side successfully winning in dozens of accounts together for the first time. We anticipate this collaboration to grow substantially as we train and introduce our go-to-market teams. Jamf's participation with Microsoft also expanded in Q1, which we announced two weeks ago. Jamf is excited to now be a member of the Microsoft Intelligent Security Association, which is an ecosystem of independent software providers who have integrated their solutions with Microsoft security technology to help customers better defend themselves against increasingly sophisticated cyber threats. This partnership paves the way for Jamf and Microsoft to position the work we've done together integrating our products in order to seamlessly monitor and protect customer Mac and mobile devices through Microsoft Sentinel, benefiting from the deep visibility and monitoring provided by Jamf Protect. This integration is the latest of over a dozen integrations between Jamf and Microsoft solutions, including the ability to mirror all inventory from Jamf's management systems, Jamf Pro and to Microsoft Endpoint Management. In the carrier space, we expanded our relationship with British Telecom, one of the world's leading communication services, arming BT sales team with all Jamf solutions across the management and security space. BT was a key partner to Wandera prior to the Jamf acquisition, and we are delighted to further expand this partnership across Jamf's entire platform. While most of our partners focused on providing solutions for Apple, Mac, and mobile devices, many have an increasing focus on bringing the power of the entire Apple ecosystem to the workplace. For example, one Jamf solution partner, Carousel digital signage, collaborated with Jamf to provide a solution for a large fast food franchisee to deploy Apple TVs across their retail locations as simple-to-manage digital signage. Supporting Apple TV is an example of how Jamf simply makes all Apple technology enterprise ready. The certainty Jamf offers in providing the latest support for all Apple operating systems, including complex and unique workflows is the key reason Jamf's and Apple's partnership has sustained for over 20 years. Another great example of Jamf's strength supporting unique industry use cases is a leading athletic wear manufacturer and retailer who recently chose Jamf to replace their legacy cross-platform MDM solution for over 1,000 Mac and 5,000 iOS devices to be used in retail stores, both for point-of-sale and dressing room management. Jamf's Apple-first solution was a differentiating factor in this competitive takeaway, which is consistent with the growing trend that Jamf began to identify in 2022. Again, in Q1, Jamf saw significant interest from organizations moving away from legacy MDM solutions, forming an emerging replacement market. This trend is opening up opportunity for Jamf to gain market share in a very large installed base of existing iPads and iPhones. In Q1, just two accounts who left a legacy MDM provider, accounted for 35,000 new iOS seats managed by Jamf Pro. Further increasing our competitiveness for mobile devices, we recently launched Jamf Executive Threat Protection to help customers defend against advanced mobile threats. This solution is built upon the technology acquired as part of the ZecOps acquisition, which we closed last November. This mobile security capability is extremely unique in the industry, providing organizations with an efficient, remote method to monitor mobile devices and respond to advanced attacks, greatly reducing investigation periods. Apple began offering extreme protections for users who might be personally targeted by some of the most sophisticated digital threats with the introduction of lockdown mode in iOS 16. Jamf Executive Threat Protection is designed to identify these sophisticated digital threats going beyond the traditional device management and endpoint security to extend visibility into attacks that target high value users such as government officials, journalists and high ranking employees. Finally, we're also seeing momentum with customers replacing not just one, but multiple vendors across management and security with Jamf's business plan and enterprise plan. Deploying an integrated management and security solution for both corporate and personal Apple devices, delivers a customer outcome that we simply call trusted access. One of our key partners, Okta, upgraded to Jamf Enterprise Plan in Q1, adding Jamf Connect and Jamf Protect to their existing Jamf Pro contract for this reason. Other customers have contacted Jamf because they are struggling with the time lag between incident and remediated action, which opens up the possibility that a compromised device can gain access to vital enterprise resources, if only for a few minutes, but a few minutes is too long as it still exposes an organization to cybersecurity threats. Jamf's combination of device management with patented dynamic grouping, zero trust access controls and endpoint protection closed the critical gap between security exposure and blocking access with remediated action. While providing trusted access is the primary reason we pursued our management and security strategy, we have found especially in this economy, another benefit to customers is simply cost savings. One customer, a global technology company recently purchased 3,000 seats of Jamf business plan that replaced five different incumbent solutions, including their existing cross platform MDM, patch management, endpoint protection and antivirus, a privileged access chip solution, antivirus endpoint detection and response solution. We've also seen customers like Buff [ph], BigCommerce, and Stovall Australia benefit from cost savings possibly in their management and security solutions with Jamf. In today's economy, InfoSec teams need an affordable solution to respond to rapidly evolving external threats, while IT teams require best-in-class solutions to meet the needs of today's work from anywhere workforce. Jamf provides both. With that, I'll turn it over to Ian.
Ian Goodkind: Thanks, John. We ended Q1 with revenue growth of 22% year-over-year, exceeding the high-end of our outlook. Although challenged by a tough economy, our strong performance was driven by the net additions of over 1,500 new customers, the net additions of over 800,000 devices running on Jamf's platform, which is 100,000 devices more than the prior year, including one customer who added 36,000 Mac to their private cloud deployment, and ARR per device expansion to over $17 per device versus slightly over $16 one year ago, which is a testimony to the success of Jamf's cross-sell and upsell of security solutions. Total ARR grew 21% year-over-year to $526.6 million. As a reminder, ARR is reported on a constant currency basis using FX rates established at the beginning of each fiscal year. As a result, FX had a negative impact on our Q1 ARR of approximately $3 million. As anticipated, we saw a decline in total company net retention rate to 111% in Q1 due to the impact of four consecutive quarters of muted customer hiring expectations that affects device growth at renewal as well as increased churn. We believe this decline is primarily driven by the difficult macro environment, and we would expect the NRR metric to increase as macro conditions improve. The remainder of my remarks on margins, expense items, and profitability will be on a non-GAAP basis. Our GAAP financial results, along with the reconciliation between GAAP and non-GAAP are found in our earnings release. Q1 non-GAAP gross profit margin was 82%, and within our expectations. We continue to anticipate gross margins in the low 80% range, expect slight fluctuations each quarter. Non-GAAP operating margin also exceeded the high-end of our outlook in Q1 at $6.1 million or 5% due to revenue outperformance and the impact of cost initiatives. Our trailing 12-month unlevered free cash flow margin was 14%, decreasing compared to the prior year. As a reminder, in Q1, we pay our annual bonus and renew large annual software contracts. Our effective tax rate for Q1 is negative 2.5%, consistent with our expectations. As a reminder, for non-GAAP metrics, we use our domestic statutory rate for calculating tax impacts, which is currently 24%. Please note that we pay a negligible amount of cash taxes on a U.S. federal basis and pay an immaterial amount of cash taxes outside the U.S. Now turning to our outlook for the rest of the year. We believe the underlying fundamentals of our business remain intact, and we expect continued demand for Jamf's innovative solutions. As you heard from Dean and John, we continue to innovate and extend our platform to provide unique solutions that bring tremendous value to our customers. However, given the likelihood of macroeconomic headwinds persisting through most of the year, we remain prudent in our revenue outlook. Our overall philosophy of balancing growth and profitability remains, and we continue to be judicious with our expense structure, while reinvesting in areas with the highest expected return and continuing to drive strong, consistent cash flow generation. We continue to execute the cost initiatives we outlined last quarter and have been able to more quickly realize savings in some areas, giving us confidence as we look to the rest of the year. By the end of Q1, we had lowered our onboard head count by 60 FTEs, resulting in cost savings that help drive some of the overperformance we achieved in non-GAAP operating income. We've also begun making investments in projects for efficiency and scalability in both customer-facing operations and back office functions. We will continue to pursue investments in operational excellence that will provide further cost savings. As such, our outlook for the second quarter and full-year 2023 is as follows. For the second quarter of 2023, we expect total revenue in the range of $133.5 million to $135.5 million, representing growth of 15% to 17% year-over-year. Non-GAAP operating income in the range of $4.5 million to $5.5 million. For the full-year 2023, we are holding our previous total revenue range of $559 million to $563 million, representing growth of 17% to 18% year-over-year, and we are both raising and tightening the range for non-GAAP operating income to $41 million to $43 million. Additionally, for Q2, we anticipate non-GAAP operating margin to decline slightly from Q1 due to the impact of planned merit increases that were rolled out at the end of Q1 and planned Q2 marketing events, including last week's annual spring event and the upcoming Jamf Nation live event. You will note this matches the seasonality of our non-GAAP operating income for the past two years. As the year progresses, we will drive further margin expansion, expect to exit 2023 with a Q4 non-GAAP operating income margin percentage in the low teens. And while we don't provide an outlook for unlevered free cash flow margins, we anticipate a seasonality decline from Q1 to Q2 and then increase in the second half of the year. We anticipate full-year 2023 unlevered free cash flow margins similar to 2022. We also provided estimates for amortization, stock-based compensation-related payroll taxes and other metrics to assist with modeling in the earnings presentation as part of the webcast and also posted on our Investor Relations website. And now Dean, John, and I will take your questions. Operator?
Operator: Certainly. [Operator Instructions]. And our first question comes from the line of Matt Hedberg from RBC. Your question please.
Matthew Hedberg: Great. Thank you very much. And first of all, congrats, Dean, first on your retirement. That is exciting news for you. And John, obviously, on your promotion, it certainly seems like the company is in really good hands here on a go-forward basis. So congrats to both of you. John, maybe for you, and I'll keep it to one question for the sake of time. What continues to resonate with us and when we talk to channel partners is the success you're having on the security side. And you spent a lot of time in your script, and obviously, you talked about Okta as well. I'm curious, as device adds are under pressure, how much of a -- like that initial land is like both device management and security. Because I have to imagine that's become increasingly -- in focus today on some of those initial lands versus just a straight upsell?
John Strosahl: Yes. Matt, thanks for the question. And you're absolutely right. It's the security adding of the security products has given us many more vectors into a customer within the forum, while customer may have one device management per device, they can certainly have five different security products. And so we've had this large deals actually this last quarter were security [Technical Difficulty] and we've expanded from there. So we really -- we're bullish on that. We've had great success in our business plan, especially in the SMB area, which includes, of course, our security products as well. And we will continue to invest accordingly.
Matthew Hedberg: Thank you very much. Nice job.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Raimo Lenschow from Barclays. Your question please.
Raimo Lenschow: Congrats from me as well, Dean, although if you retire, I feel really old, because I don't think you're that old. Quick question. If you think as a seat-based model, obviously, with the economy suffering, you kind of suffered a little bit. But like where are we -- do you think on the journey in terms of normalization in terms of customers kind of thinking about their deployment, their deployment size, et cetera. It's obviously a journey like -- how do you feel about your customer conversations where we are on that journey? And then I have one follow-up.
Dean Hager: Thanks, Raimo, for the question. And just for clarity, are you speaking like in terms of our penetration within the devices for our customers? Are you thinking more on where we're at from a market perspective on device shipments?
Raimo Lenschow: More on the latter, actually, like device shipments and how that's kind of playing out?
Dean Hager: Yes. So thank you for that. Well, if you go straight to, as I mentioned in my comments, straight to the IDC and Gartner numbers, clearly, the year-over-year comparable on device shipments is pretty tough. But we've gone through now six months of the biggest decline on recorded record really since Gartner has been watching it. But if you go in and read the reports, both Gartner and IDC seem to report that there's a little bit more of a bullish attitude on 2024 because that's really when the beginning of the pandemic buying occurred and those devices are going to be coming up for refresh. And what I find interesting is if you take a look at what Mac market share was at the end of 2019 versus what it is today, it's three, four points higher today. So when the aging Chromebooks and Windows computers come up for refresh, more and more of those are going to flip to Mac if they follow the same market trends that we've been seeing today. So where I'm looking at is, I would love to say that we're going to start to see a little bit of recovery on the device shipments towards the end of this year and IDC would agree with that. I think 2024 seems to be a little bit more of the bullish year on that.
Raimo Lenschow: Yes. Okay. Perfect. And then on the follow-up, like you had a few price increases for Pro and other product lines at the beginning of the year. Has that impact -- like what's the impact here on ARR? Is that like meaningful? Is that coming through all in one? Or how should we think about that? Thank you. And then I'll pass it back on.
Ian Goodkind: Yes. I can jump in here, Dean, yes. Thanks for the question. Yes, the impact on ARR is just pennies. I mean we just announced it, customers are just getting into it. We have a ton of customers that will come in, in the latter half, that will impact. But right now, that's a de minimis impact. What's really driving that, again, is our security posture. And John talked about it earlier, where we're starting to get really savvy and we're starting to see really good business plan sales, and that's helping drive it.
Dean Hager: The good news is that the receptivity from our customers on the price increase has been positive that there is significant more value that's delivered, and seems to be being received well.
Raimo Lenschow: Okay. Perfect. Thank you.
Dean Hager: Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Matt Stotler from William Blair. Your question please.
Unidentified Analyst: Hey guys. This is Alex Leszcz [ph] on for Matt. Thanks for taking our questions. Also echoing the congratulations, Dean and John, excited to work with you more in the future. So just one for me on the macroeconomic environment. Do you -- are there any further updates you have to share from any observations in the first quarter and into April and early May? Any particular areas of strength or weakness you could call out?
Dean Hager: Well, thanks for the question, and it's good to talk to you, Alex. I'll tell you what I'm most excited about coming off of first quarter is, historically, Jamf has had a best-of-breed management solutions that frequently we have sold to customers and sold despite perhaps somebody else offering a -- on putting into airports, good enough solution for a lesser price. But now that we offer an entire platform of identity connection, security and management solutions, we are finding more and more customers that are not comparing Jamf's price on any one product, but rather what our platform offers versus several solutions that they have [Technical Difficulty] five different solutions with the Jamf business plan, and they weren't the only one. We saw probably more than we've ever seen before in Q1 customers decide for the pure purpose of saving money that it was advantageous to consolidate on the Jamf platform. And then in addition to that, bringing the additional value of a management and security solution working together to shut the door or the [Technical Difficulty] of vulnerability and remediated action. So that's really probably what I exited Q1.
Unidentified Analyst: Got it. Perfect. Thank you for that. And then just one quick other follow-up for me. You touched on it a little bit in your prepared remarks, but is there anything else that you have to -- you could comment on with customer buying behavior in this environment? Have you seen customers reduce any deployments? Or are they just a little slower to expand? Thanks.
John Strosahl: Yes. Alex, I'll take that. This is John. Thanks for the question. We have. We have. It's similar across the industry. Companies are taking a little longer to discern whether or not they're going to spend. They're waiting a bit to see the line of sight. We've been able to offset that in many cases by having a broader variety of products to sell into them. But we are seeing some more judicious approach from our customers just like we're taking ourselves internally.
Unidentified Analyst: Got it. Thank you. Appreciate that. I'll pass it on.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Joshua Reilly from Needham & Company. Your question please.
Joshua Reilly: Hey guys, thanks for taking my questions. And I'll put out my congrats as well to both Dean and John there. If you look at the M2 cycle for Apple here versus the M1 launch, our work indicates that the material change in power consumption price and security with M1, and the M2 kind of still offers a similar value proposition so that wave of initial upgrade with M1 isn't as strong with M2. Can you just comment, is that what you're seeing as well? And does that create a tough comp for you this year in addition to the macro challenges that we're seeing in the market?
Dean Hager: Thanks for the question, Josh. But I don't know that I'd be an expert on that in terms of the uptake on the M2 versus M1. We haven't really seen dialogue within our customers of that that would either [Technical Difficulty] deployment. More so from our perspective, it really comes down to what is the price [Technical Difficulty] efficiency versus an alternative non-Mac computer and then, of course does the [Technical Difficulty]. And as you well know, back in the day, they used to have to battle against user preference versus the [Technical Difficulty]. But today's price performance, the Mac is not a more expensive machine. As a matter of fact, I have [Technical Difficulty] provide very strong cases. As a matter of fact, I was in a room with a dozen CIOs last week, talking about the cost advantages of buying specifically the MacBook Air. So if you look over the last year, I mentioned in my commentary, for the last four quarters, not one quarter, but four quarters, the Mac decline year-over-year is 6% versus 23% for non-Mac computers. So that's really what our focus is.
Joshua Reilly: Got it. That's helpful. And then if you look at the year-over-year device growth of 13%, that's actually pretty strong off a tough comp in the current macro, I think. And while the ARR per managed device growth did slow a bit sequentially. What are you seeing in terms of cross-sell trends and the mix of devices that were actually sold in the quarter? And was there some more education devices sold in this quarter ahead of the buying season that might have impacted that? Thanks.
Dean Hager: Yes. So not necessarily on the education side. But it's a studio to recognize the fact that we grew devices in this atmosphere by 13% over the year. To be perfectly honest, when we look at our year-over-year expansion of Mac devices specifically in commercial markets, in some ways, it's kind of surprising given the overall shipment numbers of Mac in the last year. And what that tells us is Jamf is just winning a larger share. So therefore, [Technical Difficulty] there's just a lot of under-managed and under-secured Mac out there still. So even though the Mac did grow in shipments over the last year, we still did. That bodes pretty well for when we believe the device shipments will normalize and come back.
Joshua Reilly: Got it. Thanks guys.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Koji Ikeda from Bank of America. Your question please.
Koji Ikeda: Yeah. Hey guys, thanks for taking the questions. I echo everyone's sentiment here. Congrats, Dean on the retirement. Congrats, John and hey Ian, nice to speak to you. Just a couple of questions for me. Dean, just starting off with you, I guess, kind of going back to the why now, and I want to frame this question a little bit differently. I totally get it on the personal front. The announcement of John makes a whole lot of sense, I totally get it. But what did you see from the business side that made you kind of made that, help ease your decision for the why now?
Dean Hager: John, the fact that John is here. I mean he and I have been partnered in this for the last eight years now. And for anybody watching closely, I mean, let's face it, John was Chief Revenue Officer when I beg them to join us. And then about two and a half years ago to Chief Operating Officer. And then year and a half ago to President, and most of the company has been reporting up to him. So frankly, as we looked at the organization and John has really been running things, it just made that decision all the easier. As I mentioned, this has really been a part of a long-term plan for -- with myself and my wife, Jenny. And so just knowing that the company is in such good hands, made it an easy decision.
Koji Ikeda: Got it. Got it. That's helpful. And I guess since the spotlight is on John, question directed to you. Just kind of thinking about -- in the past, maybe, in the easier times or the better times of 2020 and 2021, when companies were buying units in anticipation of hiring. How do we think about the effects of that more just-in-time mentality as we think about 2023 and 2024? And really, the question here is when do you think we could start maybe anniversarying or the comps get easier from this change in buying patterns?
John Strosahl: Yes. Thanks, Koji. We've talked a lot about the macroeconomics. You've heard a lot on other earnings calls. And as we see the headwinds for device shipments [Technical Difficulty] we've taken an opportunity during that time to really learn how to better sell security and get that muscle memory going. And so the reports we're looking at can suggest that -- and we plan this way that we'll look for headwinds to the end of the year. As device shipments come back and device expansion comes back, we anticipate early next year. We've got a great tailwind of not having just a device on that device expansion, device management, but then also security on top of that. And so that's really what we are planning around.
Koji Ikeda: Got it. Thanks guys. Thank you for taking the questions.
John Strosahl: Thanks, Koji.
Operator: Thank you. [Operator Instructions]. One moment for our next question. And our next question comes from the line of Nick Mattiacci from Craig-Hallum. Your question please.
Nick Mattiacci: Hi, this is Nick on for Chad Bennett. Thanks for taking our questions. Just one for me. If you could talk about how your partner channel has been performing and if there are any geographies, verticals or other segments where channel partners are becoming more impactful? And then on Apple specifically, if anything has changed in regard to your go-to-market relationship?
Dean Hager: You want to grab that, John?
John Strosahl: Yes, I'll take that. So if I understand the question, Nick, is how are we working with our channel and how is that advancing. Obviously, the channel partners that we work with now also work with Apple. And Apple is in fact, a channel of [Technical Difficulty] on the education side. We've put a concerted effort into building our channel organization with the vast majority of our sales coming internationally through the channel and increasingly the amount coming in the U.S. through our channel partners as well. So we're going to continue that because we believe there's great efficiencies there. We've seen, and as I mentioned, great traction outside the United States, and we're learning a lot from that and bringing that into the U.S. as well to gain more efficiencies in our go-to-market through the channel.
Dean Hager: The one other thing I'll just add on top of that is -- and John commented on it that we continue to expand our go-to-market relationships like we did with -- entering the Niche program with Microsoft, which is a good -- while not a co-selling relationship and that's not co-marketing relationship, but the AWS relationship is a co-selling relationship. It was really our very first quarter after launching us as part of the AWS Marketplace, and we couldn't have been happier with the traction that we saw that in Q1, and we think that's going to build over time.
Nick Mattiacci: Thanks for taking the question.
Operator: Thank you. This does conclude the question-and-answer session as well as today's program. Thank you, ladies and gentlemen, for your participation. You may now disconnect. Good day.